Operator: Hello and thank you for standing by. Welcome to the Canada Goose Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker for today, Amy Schwalm. You may begin.
Amy Schwalm: Thank you, operator, and good morning, everyone. With me are Dani Reiss, Chairman and CEO; Jonathan Sinclair, EVP and CFO; and Carrie Baker, President. Our call today, including the Q&A portion, contains forward-looking statements. Each forward-looking statement, including our financial outlook is subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were considered and applied in making these forward-looking statements. Additional information regarding these forward-looking statements, factors and assumptions is available in our press release issued this morning, as well as the Risk Factors section of our most recent annual report filed with the securities regulators. These documents are also available on the Investor Relations section of our website. The forward-looking statements made on this call speak only as of today, and we undertake no obligation to update or revise them. Lastly, our commentary includes certain non-IFRS financial measures, which are reconciled at the end of our press release. With that, I will turn over the call to Dani.
Dani Reiss: Thank you, Amy, and good morning, everyone. This quarter showed us overwhelmingly that our brand strength globally remains strong even in the face of short-term pressures. In Mainland China, consumers returned in full force to shop with those falling a period of significant disruption in December. We also saw solid top line growth in the United States, driven by strong performance across our store network. And our gross margin expanded year-on-year for the third quarter in a row, up over 160 basis points, with margin improvement across all product categories. With that said, we did face challenges during a seasonally significant third quarter. The largest being in Mainland China, where disruptions were worse than we had anticipated, impacting our performance significantly. And in North America, we saw a softening of demand towards the end of the quarter. In a few moments, I'll dive deeper into both of these trends. These short-term pressures will not change how we think about our business. We are and have always been building this brand for the long-term. Now more than ever, we are focused on building deeper relationships with our customers, strengthening our DTC network and continuing to expand categories, all while staying true to our luxury DNA. And we know that our strategy is working. We continue to be recognized for it as well. We are proud that for the fifth year in a row, Deloitte has named us in their Global Power of Luxury Goods Report as one of the world's fastest-growing luxury brands. Our competitive advantages remain strong. Our Made in Canada vertical integration has enabled us to so far, offset many of the cost pressures and supply chain delays facing the industry. And we have continued to deliver a steady stream of new and carryover products to our global distribution network. Turning to the quarter. We posted revenue of $577 million, down 1.6% from the prior year period, which included a 53rd week. Using the same trading weeks from the comparative quarter in both periods, revenues grew 2.5%. Before we dive into our results in more detail, I want to spend a moment discussing the pressures that impacted our earnings. It's really important to note that we firmly believe these trends, disruption in China and softness in North America are temporary, and our brand strength remains incredibly healthy. Starting with Mainland China, where the region was largely locked down for most of the quarter. We did expect a certain level of disruption. What we did not anticipate was the sudden reopening in early December. This led to a surge in infections, which had a significant impact on our business during what is typically our most productive trading month. Consumer traffic decreased dramatically and staffing levels were impacted due to illness. We are proud of how our local teams were able to navigate difficult circumstances that they faced. On a more positive note, the reopening did give us a clear message from our consumers in Mainland China, Canada Goose's brand remains strong. Traffic and transaction growth jumped immediately following the disruptions in December. In January, same-store traffic was up approximately 30% year-over-year. And in Hong Kong, traffic has tripled from the same period last year, and that strong progress has continued. Stores are fully staffed, consumers are back shopping in person, and the familiar lineups have returned to many of our stores. We are confident that our brand has retained its full strength. We also have the added benefit of Lunar New Year in the fourth quarter, which for the first time in three years, was celebrated without restrictions. Traditionally, we see a pickup in store traffic and transactions over three weeks prior to the holiday, and this year was no different. And we hit another milestone in January, surpassing the 1 million follower mark on WeChat, another example of our brand's strength in the region. All of this clearly shows that our best days are yet to come. In North America, we are seeing a continuation of mixed results early in the fiscal. Both in Canada and the United States, store traffic is up more than 30% year-over-year as more consumers are choosing to shop our experiential store network. With that being said, conversion in the North American DTC business is lower than we expected early in Q4. As I said, we believe these pressures to be temporary, and we continue to focus on driving brand heat and relevance through our exciting partnerships and collaborations. On that, I'm very excited about our upcoming collection with NBA All-Star as part of our long-term partnership with that organization. The new collection, which will be our third so far, launches next week, and it had always created a lot of buzz and hype per our brand. And in January, we celebrated our 11th year as an official sponsor of the Sundance Film Festival in Park City, Utah. This year, we returned to Main Street with our exciting Canada use base camp experience and pop-up retail store. Sundance is a perfect backdrop for our brand, truly the intersection of performance and luxury, and an opportunity for our brand to celebrate our authentic decades-long relationship with the film and entertainment industry. Looking ahead, we are also moving forward with our store expansion program much earlier in the calendar year than in past years. We plan to open three new permanent stores early in Q1, one in each Seattle and Los Angeles, as well as a second store in Las Vegas. So let's turn back to the quarter. In our DTC channel, our stores had the strongest monthly comps of the quarter in December, with total company DTC comps at 9.3%. In fact, every single geography posted positive DTC store comps in the month of December. North America was a notable growth across categories, specifically, apparel grew 61%, compared to last year, reaching 5% of total sales in the quarter. And for the full-year, non-heavyweight down grew considerably, up 20% to nearly 42% of revenues year-to-date, up from 36% in the prior year. As you can see, we continue to make progress against our category expansion strategy. Importantly, our gross margins have remained strong, expanding 160 basis points. We are particularly proud at this point, considering the enhanced promotional activity that dominated much of the consumer retail behavior this holiday season. We bucked that trend. Our gross margin reflects the strength of our non-promotional DTC network, as well as our exclusion from much of the promotional activity in wholesale this quarter. As we look ahead, although we continue to make significant headway on our key growth drivers, we are cautious about the fourth quarter. The softness of demand in North America, along with China's weaker than anticipated third quarter, has led us to lower our fiscal year 2023 expectations. We now feel that these align better with the current environment. Jonathan will give more details on this in just a bit, but I want to emphasize that our long-term expectations for our brand remain unchanged. We are well positioned to see tremendous upside in both the medium and long-term. Before closing, I want to share some progress that we've made on the core pillars of our strategy. First, growing our DTC network. There is a substantial amount of room to grow as we continue our Quest West. In the quarter, we opened two permanent stores, one in Las Vegas and another in Denver; and two pop-up stores, one in Aspen and the second in Detroit. All four locations included the full breadth of our assortment in our Las Vegas location includes our award-winning no room experience, which has been a big hit in the desert. Beyond these four store openings in North America, we also opened new stores in China, Japan and the U.K. this year. At the end of the quarter, we now have 51 permanent stores, roughly a 25% increase from last year. As well, in partnership with our new South Korean distributor, Lotte, we've opened five permanent and 12 temporary pop-up shops in only nine months. Our progress in South Korea has exceeded our expectations and on the beginning of the story there. We still have a long runway ahead of us, and I'm looking forward to sharing more of that with you in the future. And we continue to focus on expanding our product offering, reaching more consumers in more seasons. We see opportunity to expand our offering for women and building on our already strong residents of eager generations. We are innovating in our women's offering to focus on stylists for futility and it's working. In the third quarter, we saw a strong reception to our Aurora and Marlow Parkas both achieving approximately 70% sell-through, a fantastic performance for two new styles. Our pastel collection continues to be hit with women, particularly in APAC, with the region driving around a third of global sales of the collection. And lastly, we launched a beautiful collaboration with reformation in the quarter, which resonated particularly well in the United States. The reaction of the collaboration generated across our social channels, especially with women and Gen Z was overwhelmingly positive. On a final note, and one that I'm particularly proud of, in November we donated over 10,000 parkas, jackets and accessories to UNHCR, United Nations Refugee Agency in support of their humanitarian efforts in the Ukraine. The products went to Ukranians, who have been impacted by the war and needed protection from the onset of winter. In conclusion, I want to once again thank our teams around the globe, who have continued to put our customers first. Our brand remains as strong as ever, and we are better positioned than ever to execute against our strategy and accelerate our growth. Look forward to sharing more with you at our Investor Day next week. Thank you. And now I'll turn it over to Jonathan Sinclair.
Jonathan Sinclair: Thank you, Dani, and good morning, everyone. Today, I shall be comparing the third quarter ended January 1, 2023 with the prior year quarter, which ended January 2, 2022, unless I say otherwise. In order to highlight the impact of the incremental week in last year's results, we have also provided figures that use the same trading weeks in each period. So turning to our results. In the third quarter, total revenue declined 1.6% and 2.2 % on a constant currency basis to $576.7 million. Using the same trading weeks, revenue grew 2.5% and 1.8% on a constant currency basis. The third quarter fiscal 2023 revenue fell below our outlook range of $580 million to $660 million. As you heard Dani discuss, the majority of this can be attributed to Mainland China. Since we last spoke to you in early November, COVID restrictions in Mainland China worsened that month. Then when the country suddenly reopened in early December, which is our busiest trading month of the year, a wave of infection suppressed traffic and reduced store hours due to staff illness. And in some cases close to the stores altogether. We estimate the impact was about $60 million in lost revenue. In North America, particularly in the U.S., despite store traffic in line with our expectations. We saw lower conversion in our DTC network against a tough macroeconomic backdrop, and we estimate this represented about $25 million in lost revenue. Now turning to our revenue channels. DTC revenue increased 1.5% to $450.2 million. Using the same trading weeks, the increase was 4.6% and 8.2% excluding Mainland China. DTC comparable sales declined 6% and grew 0.5 excluding Mainland China. Total revenue growth was strong, but was somewhat offset by lower e-commerce revenue. Consumers shopped more in our stores during the quarter and you may recall COVID restrictions in EMEA and in Canada were prevalent in the comparative quarter. Taking this in the round, our strong store performance in our most important quarter reflects brand heat. And importantly, we saw this in Mainland China with the reopening toward the end of the quarter and up until today. Looking forward, we believe we have the opportunity to further enhance store sales productivity and we remain very focused on identifying and executing on the drivers to do so. We also believe e-commerce is a significant area of opportunity. We are excited to tell you more about our plans for DTC growth at our upcoming Investor Day. In the Wholesale segment, revenue declined 17.3% to $114.4 million in the third quarter. Using the same trading weeks, the decline was 11%. As we explained in our last earnings call, we fulfilled wholesale shipment request from customers in Q2 fiscal 2023, which was earlier than in the comparative quarter. This has returned us to normalized shipping patterns pre-pandemic. Now for the performance by geography, Revenue increased in North America, driven by growth of 11.3% in the U.S. from retail expansion and existing store revenue growth. Using the same trading weeks, U.S. revenue grew 17.4%. Revenue decreased in Canada and in EMEA, largely due to earlier wholesale order book fulfillment and lower e-commerce revenue. This was partly offset by strong store sales growth. Asia Pacific's revenue decline on account of Mainland China was partially offset by strong performance from stores in Greater China, as well as the new DTC and wholesale business in our Japan JV. urning to our profit metrics. We grew consolidated gross profit by $2.6 million to $416.4 million, primarily due to gross margin expansion. Q3 gross margins increased 160 basis points to 72.2% with margin improvement in every product category and in both channels. DTC and wholesale gross margins expanded to 78% and 53%, respectively. Gross margins were favorably impacted by pricing and that was partially offset by higher duty costs, product mix and the impact of the fair value inventory acquisition adjustments on sales related to the Japan joint venture. True to our track record to-date, we expanded gross margins despite the ongoing diversification of our product mix, away from a concentration in heavyweight down. This continues to give us confidence in our model going forward as we accelerate product category expansion. As a region, Asia Pacific skews to more heavyweight down sales as a percentage of total sales. And of course, the region sales were heavily impacted by COVID disruptions. Operating income declined largely due to the unfavorable foreign exchange fluctuations on working capital and on our term loan, as well as investments in technology, higher costs related to retail expansion and running stores at full capacity, as well as costs associated with the Japan joint venture. These were partially offset by higher gross profit and the timing of marketing spend, which occurred earlier in the year, compared to fiscal 2022. Adjusted EBIT decreased to $197.1 million, primarily due to the higher costs I just described, and came in below our outlook range of $220 million to $250 million for the quarter. This was largely due to lower-than-expected revenue, especially in DTC, the donation to assist refugees from the war in Ukraine, higher-than-anticipated strategic investments, as well as negative FX impacts. In addition, starting in quarter three fiscal ‘23, we have included pre-store opening costs as an operating expense in the calculation of adjusted EBIT. We use non-IFRS measures to help us evaluate the performance of our business. And as we expect to accelerate store openings as part of our growth strategy, we felt it made sense to factor in these costs. As such, comparable periods have been restated to reflect this change and our latest Q4 and annual guidance also reflect this. I will discuss guidance shortly. Net income and adjusted net income were lower than the comparative quarter, largely as a result of the factors impact operating income and adjusted EBIT, as well as a higher income tax expense. Turning to our balance sheet. Inventory was $482 million, compared to $368 million at the end of the comparative quarter. Japan represented about $25 million of the inventory balance at the quarter end. Higher inventory levels are primarily attributable to lower-than-expected sales in the Asia Pacific region. We monitor the levels of inventory in each of our sales channels and across geographic regions, and we align that with demand that we forecast in each region. Whilst it's slightly higher than we would like, we are comfortable with the health and makeup of our inventory. During the third quarter, we renewed our share repurchase program in relation to subordinate voting shares. We purchased about 745,000 shares in the quarter and we will continue to be opportunistic alongside investing in the business, which attracts the highest ROI. We ended Q3 with cash of $344.2 million, compared to $407.6 million at the end of the prior year quarter. Net debt including capitalized leases was $419.2 million, compared to $238.1 million at the end of the prior year quarter. We're very comfortable with net debt leverage of 1.6 times adjusted to EBITDA at the end of the quarter. The increase in net debt was primarily due to increased lease liabilities on retail expansion. The financing needs of the Japan JV and the impact of FX on our U.S. denominated term loan. Turning to our outlook. With worse-than-expected COVID disruptions in Mainland China, in our most important trading months and slower momentum in North America towards the end of the quarter and in quarter four to-date, we have revised full-year guidance. We now expect fiscal 2023 revenue to be between $1.175 billion and $1.195 billion, compared to our previous guidance of $1.2 billion to $1.3 billion. For DTC, this assumes a comparable sales decline in the low single-digits, compared to our previous assumption of a decline in low single-digits to growth in the high single-digits at the top end of the range. DTC sales are now expected to comprise the high-60s as a percentage of total revenue, compared to our previous assumption of 70% to 73%. Wholesale revenue growth is maintained at 6% for the year. We now assume $45 million to $50 million in revenue from the Japanese market, which compares to our previous assumption of $60 million to $65 million as our new stores have had a slower start than we anticipated. Moving to profitability. We expect adjusted EBIT of $167 million to $182 million for a margin of 14.2% to 15.3%, compared to our previous guidance of $215 million to $255 million for a margin of 17.9% to 19.6%. This revised outlook assumes strategic investments will continue into Q4 at a higher rate than previously planned, including key leadership hires, digital investments and strategic initiatives. We continue to expect a lower underlying SG&A growth rate, compared to growth in fiscal ‘22. We assume consolidated gross margin will be in the high-60s as a percentage of total revenue. Gross margin benefits from our vertically integrated Made in Canada manufacturing model, as well as from the conversion of our Japanese business from a distributor arrangement to a joint venture. Flowing through, we now expect adjusted EPS per diluted share of $0.92 to $1.03, compared to the previous outlook of $1.31 to $1.62. This revised assumption assumes share buyback activity. Lastly, I will cover our outlook for the fourth quarter. We expect total revenue of $251 million to $271 million. Adjusted EBIT of $19 million to $35 million with SG&A used in the calculation of adjusted EBIT assumed to be in the low-50s as a percentage of Q4 revenue. This flows down to adjusted net income per diluted share of breakeven to $0.12. In summary fiscal ‘23 hasn't been nothing short of eventful. We're extremely pleased with the easing of restrictions and the very strong signs of a retail rebound in Mainland China. Including Q4 to-date, undoubtedly reflective of the brand strength. We are well positioned to significantly benefit from our DTC network expansion in the country. We have 6 times as many stores as we did when the pandemic began. We know the macroeconomic environment is challenging, but we're confident that our luxury brand positioning, our DTC and product expansion plans, as well as our focus on the consumer make for the right strategy. And critically, we are focused on executing our strategy to drive profitable growth. As Dani mentioned, we look forward to taking you through our plans at Investor Day next week. And with that, I'll pass it over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Binetti with Credit Suisse. Your line is open.
Michael Binetti: Hi. Thanks, everybody, for taking our questions here and for all the detail. I guess just the first one, I'm just looking at the shape of the P&L in the quarter. You -- I think revenues came in the quarter, a little down by a few million, but EBIT missed by more than $20 million, maybe walk us through a few of the components that have caused that amount of deleverage, just high-level thinking? And then I am curious what do you think is causing the pressure on the conversion rate in North America direct-to-consumer? I mean, I don’t- you said traffic was good, so I don't know if you felt like weather was an issue, but wonder what your early diagnostics are on the conversion issue?
Dani Reiss: Thanks, Michael. So let me take the first part of that. As you said, revenue was lower-than-expected. And that was DTC, which obviously is our highest margin segment and best quality of revenue. And as a percentage of total, that was less than we expected for the reasons I detailed in my prepared remarks. And both in Mainland China and North America, and that's dilutes gross profit, and that was worth about $5 million just to put an order of magnitude down there. We also made decisions to sustain our marketing investment in support of the brand, as well as investing in strategic growth initiatives. And as I said, we'll talk a bit more about those next week, but that's another $3 million. We experienced some negative FX impact, and that was worth a further $3 million within adjusted EBIT. The move of pre-opening costs into adjusted EBIT added a further $3 million and of course, we made conscious decision to donate around 10,000 jackets that exist refugees from the war in Ukraine. So that's really what made up the vast majority.
Jonathan Sinclair: Yes. Just Dani, just to add on us a little bit, I think notwithstanding the challenge we faced specifically in China's quarter and the pressure we face, we run this business for the long-term and when we feel that we have an opportunity to make an investment for attractive return and to drive growth in the future, that's what we do. As oftentimes, we look forward to discussing our plans in that regard further in our strategy -- at our Investor Day next week. But I think it's important to remember this -- our trajectory is strong and we continue to invest in future growth.
Carrie Baker: And Michael, just on your question around conversion. So I think couple of points here. One, we saw great traffic in stores, so there was a shift from online back to stores, which we have continued to see through the full-year. So traffic was up, I think the convergence specifically was a challenge on e-comm. And so [Technical Difficulty] little bit of a problem, we’re happy with what we are seeing, but it's just in general that shift in the lock and conversion just caused the overall play. The reason for that, I mean, I think you'll see that across the industry. I think people were a little more nervous in December about spending, I think they saw layoff, I think looming recession, I think all of that contributed to just like lower consumer confidence overall.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Brooke Roach with Goldman Sachs. Your line is open.
Brooke Roach: Good morning and thank you so much for taking our question. I was wondering, if you could speak to the reacceleration that you're seeing quarter-to-date in China? I know you spoke to traffic levels rebounding. But can you help quantify the rebound that you're seeing in dollar sales and store productivity levels? Based on what you're seeing today, how does that form the range of outcomes for your China business contribution for the fiscal fourth quarter and into calendar 2023? And some of the medium-term opportunities that you see in terms of brand health and momentum? Thank you.
Dani Reiss: I just want to start - yes. Thanks for the question. Brooke, I just want to say the re-acceleration in China, I think is a really strong proof point of our brand health overall. And in China, we did see that. As mentioned in December, we saw that the lifting of zero-COVID had a negative impact in the short-term and unfortunately that was driven -- our most supportive month of the year. But once that passed and a lot of people recovered from COVID in China, our sales have rebounded there. Sales are currently very strong, there is long lineups outside of our stores and we feel really good about our brand health in China and around the world.
Jonathan Sinclair: Yes. And if I can just add to that, we're really seeing very strong growth, virtually every store quite in Mainland China and I'll count that is up. None of those increases are measured in single digits, some of those increases are measured in triple digits, and equally outside of Mainland China; in Greater China, we're seeing very strong growth, in Hong Kong, we're seeing great growth in Macau, and we're seeing very strong growth in Taiwan.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Adrienne Yih with Barclays. Your line is open.
Adrienne Yih: Good morning. Thank you for taking my questions. Just sticking on the topic of China, Jonathan, I was wondering if you can help us sort of bridge the gap between the short -- many of the stores were opened during this kind of three-year period. Hong Kong stores in front of protests and then COVID. Can you talk about the planned sales and EBIT, kind of, the initial plan where those stores are as a group now? And what the recapture opportunity is over, say the next 12 to 18-months in both sales and then EBIT margin for that segment? And then secondarily, just any color on North America, the comps that were just reported and what those comp quarter-to-date in the North American market look like? Thank you very much.
Jonathan Sinclair: So, thanks, Adrienne. Let's start with China. Clearly, the stores have been performing below what you would expect them to be doing in normal circumstances, particularly during most of calendar ’22 and that's something that we've seen. We've seen great rebounds, we've seen the numbers coming back very strongly, as I've just said, in this quarter. But we still got a substantial runway before we’re back to normal operating levels for full-year. We've come through nine months here. This year where frankly the stores were either closed or very, very impaired traffic. So we think that there is a significant uptake there and you can see that from the scale of reduction that we've made, that's been attributed to China performance both in the previous quarter and the amount that we've particularly articulated in this quarter. I think when it comes to our performance in the current quarter in North America, the stores -- there is definitely a macro impact. There's no doubt about that. But I will still say that the stores are performing better than they were a year ago. We got more stores up than them. But what we are seeing is less conversion happening on the website. And I think we just -- we can see a natural level of hesitance in consumers at the moment, which seems to permeate the sector from what we can see.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Ike Boruchow with Wells Fargo. Your line is open.
Ike Boruchow: Hey, good morning. Jonathan, I was wondering, kind of, piggyback on Brooke’s question, just more specifically in terms of the dollars and productivity in China. I think you said that there was a $60 million shortfall in China this quarter specifically. I guess, if we could just zoom out high level? If you look at the store base you built out in China, what you normally would have planned, I know it's hard to think this way whether “normalized revenue stream out of the region”. Can you talk about the revenue dollars that are not currently in the P&L that if things are to revert back to normal could come back? I mean, clearly like you said, it's $60 million just this quarter, but I'm kind of curious on an annualized basis, how maybe you guys are thinking about that?
Jonathan Sinclair: So if I take it at its most, I'm going to reiterate a little bit the point I just made, but remind you of the numbers. We are talking about $100 million reduction previous cycle and a further $60 million this cycle. So absolute minimum, we're looking at $160 million that's attributed to weakness and performance in China. And that assumes that we were actually assuming a normal year this year and which we were not. So in broad terms, we would say that there's upside greater than those two reductions.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Oliver Chen with Cowen. Your line is open.
Oliver Chen: Hi. Thank you. Regarding the U.S., what are the opportunities that you have within your control to improve conversion and what might you see happening ahead with that customer? And then as we think about Asia and China, the inventories and the traffic build, I would love your highlights on how you'll manage inventory in a pretty dynamic reopening period? A third and final is investors often ask about brand heat. You have a lot of momentum and a lot of the metrics look really strong. Would love your thoughts on the key things that prove your brand heat is really robust as we go forward? Thank you.
Carrie Baker: Thanks, Oliver. For the U.S., conversion, I mean, generally, I wouldn't even say this is just to the U.S. I mean conversion is something that we're looking at day in, day out. I think we're putting a lot of investment in terms of what is that Canadian warmth experience that we deliver. So making sure anyone who comes online, comes in to our store, is greeted warmly, understand what we have to offer, see the full breadth of our offering. And again, in the U.S. in particular, they're seeing us as a lifestyle brand, don't just think about it as whole lot of parka brand. And then getting guided expertise from our brand ambassadors in stores at least. And I think that combo is what has helped us win. I think it's helped us grow our conversion already, but obviously, that's continued to be a focus. Online, I think it continues to be an evolution. I mean, as we better understand our consumers in every market -- every region. What are they looking for? What is that personalized journey? How do we make it an experience that is directed just at them? Offering up the right product at the right time and then make it seamless and easy for them to check out. So I think there's nothing specific as a new program, I can say specifically, but this is definitely a focus for us. And again, we'll talk a lot more about it in our five-year strategy next week in Investor Day.
Jonathan Sinclair: When it comes to inventory, and particularly when it comes to Mainland China, it takes us a reasonable while to get product into the country and ready for sale. So as a result, a lot of the product that we were expecting to sell in Q3 was already staged in China in that quarter. Therefore, actually, as we've come into Q4, the inventory is all there, we can respond to demand pretty immediately. And we're not concerned, therefore, about our ability to meet demand in short order. And our numbers are proving that.
Dani Reiss: Yes. And just to speak to brand health for a moment. Sorry. Just to comment on brand health question, I think outside of China, Oliver, as I mentioned before and that we've seen in Q4 that our store sales have accelerated quite dramatically lineups outside of stores again, which is great. We continue to see great progress on our strategy. We continue to see our new products. We adopted a very -- a new product with a -- at a faster rate than our existing products. And the demand was here -- from our consumers is there. And I'm just understanding the macro backdrop. We're seeing lots of demand for our products that we are making.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Jonathan Komp with Baird. Your line is open.
Jonathan Komp: Yes. Hi, good morning. Thank you. I want to just follow up on inventory, if I could. Could you maybe just share a little more detail on the state and positioning of the current base, if you have any plans to reduce inventory, how you plan to do that? And then just a broader question. When you presumably reduce the utilization at your factory, does that have a material impact on the COGS of any new production? Just maybe if you could walk through the dynamics there?
Jonathan Sinclair: Yes. That's no problem. I think that -- let's start with the macro. First of all, within the inventory number, just as a reminder, Japan is non-comparable because obviously, it wasn't there as a JV a year ago, and that's about $25 million of the balance. Obviously, we've got somewhat more inventory than you would have expected at this point in the year, probably a little bit more than we'd like. But the health of it is not our concern. So we -- as a brand with a strong record of sell-through and the vast majority being continuous of core products that we're able to carry that overseas on season. And so inevitably, therefore, and you rightly anticipate, we may tune our forward production volumes according that's accommodated within our gross margin algorithm. And so it's not something that we expect to cause a distortion to forward margins.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Mark Petrie with CIBC. Your line is open.
Mark Petrie: Hey, good morning. Thanks, a question around the strength in the non-parka categories. Just wondering if you could talk a bit more about that. Was that consistent by region? Consistent through the period? And is that sort of continuing into Q4? And then I also just wanted to ask about the performance in Japan and if there are any specific circumstances that drove the reduction in the expected contribution of some increase?
Carrie Baker: For sure. Let me talk about the expanded offering. So we did see it across the category -- or sorry, across regions. In North America specifically, sales grew 51%, compared to last year, so just now sitting at about 5% of the total sales in the quarter. Heavyweight -- non-heavyweight down grew 20%, so that's up to 42% of revenue year-to-date, up from 36% per year prior. And we're seeing that in EMEA as well. Obviously, it’s a little bit skewed in terms of APAC region just for the reasons we've all been talking about, but we're very happy to see that new categories are growing faster-than-expected, faster than traditional core parka. Then again, that idea that people are buying into this brand as a lifestyle brand, not just as a parka brand or a cold weather brand. That's what we've been working hard on, and it's working. It's resonating.
Jonathan Sinclair: I think when it comes to Japan, what I'd say is that as a reminder, the strategy there obviously is a switch from wholesale into retail. As you know, we've opened a couple of stores there, one in Osaka, in Shinsaibashi and one in Ginza in Tokyo. And whilst we're very happy with the locations, the initial take-up of business was a bit slower than we might have expected. And hence, we've seen that business be a bit softer and we've revised the ranges accordingly.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Jay Sole with UBS. Your line is open.
Jay Sole: Great. Thank you so much. I just wondered if you could elaborate a little bit more. I think you touched on this in other parts of the call, but if you elaborate a little bit more on the footwear business and sort of how that played out this season, what you're expecting for next season to beyond, that would be helpful. Thank you.
Dani Reiss: Thanks, Jay. Absolutely. Footwear has been doing that quite well. I mean, obviously it does well in nascent category for us. It's grown almost 175% overall and since -- on this quarter. And we have big plans for it, as you know. We're very pleased with the way our consumers have taken to our new products. Some of our first two products launched were very strong. And the follow-up products to that were even stronger than those. And we continue to build momentum and strength behind that category. And super excited about future growth.
Carrie Baker: And just one thing to add on that is the one thing I'm particularly been watching is just the uptake with women. And so our -- we have a really standard size with our pull-down topper boots. Women have been, taking those up like they're very excited about those categories and we're selling out often and having to replenish quite quickly. So that's great in terms of both category growth, but also in terms of how we're reaching women, which is obviously a key focus for us.
Operator: Thank you. Please standby for our next question. Our final question comes from the line of Omar Saad with Evercore. Your like is open, with Evercore, I’m sorry. Your line is open.
Omar Saad: Thanks for squeezing me in. Most of my questions have been asked. I just have a couple of cleanup questions. I want to confirm, it sounds like you don't think weather, the warm weather, was an impact in North America slowdown, number one. Maybe dive in a little bit. Do you think in Japan, do you think there's just a brand awareness and recognition issue? Do you have that kind of presence with the consumer mind where it needs to be for the store footprint? And then lastly, in China, what gives you confidence that the strong recent trends are not just the Lunar New Year? Thanks.
Dani Reiss: Thanks, Omar, for your question. Weather -- I don't believe that, in particular, weather has ever caused us -- to caused strong performance or cause performance. I think we've been able to perform well regardless of weather. I think weather is -- and cold is a relative thing. And also, there's weather events -- extreme weather events are more common and localized around the border. That said, like when there is snowstorm, people do want more stuff like it. So there is an impact, but I don't think that over spread over the year from a macro point of view, there's a significant impact on that, I think. So that's to address the weather question. In Japan -- I think our brand is really strong in Japan. I've been really excited about this JV for years, and I'm very excited to have an operating entity that we own there now. And I think that -- our stores just opened. The Japanese economy is -- so our stores are new to the marketplace. They didn't have an established customer base, and it's just going to take some time for them to gain some traction there. But I'm very confident in the strength of our brand in Japan. I know the size of it, I don't know how big it can be. And there's no doubt that it could be significantly better than it is today and will be with time. And those stores will be part of the reason for that.
Jonathan Sinclair: I think when it comes to the Chinese business, I mean, there's clearly the Lunar New Year, but the real driver is pent-up demand from consumers. And that's what we've been seeing. That's what drives the lineup. And you're seeing business -- you're not just seeing business at the weekend; you're seeing every single day of the week. And it's really been very marked and very strong.
Dani Reiss: Yes. I'll just close with agreed on all that. And I think that -- if the reopening happened one month sooner, I think we would have seen the same behavior in December. And had we seen the same behavior in December, I think the conversation of the quarter would be a lot different. But it just -- it's an unfortunate matter of timing for us, and we are fortunate that -- during Chinese Lunar New Year, our Chinese consumers were able to shop in our stores and online and the performance speaks for itself.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.